Operator: Good morning, ladies and gentlemen, and welcome to the Lundin Gold's Q1 and 2025 Financial Results Call Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Friday May 9, 2025. I would now like to turn the conference over to Ron Hochstein, President and CEO. Ron, please go ahead.
Ron Hochstein: Thank you, Chester and good morning, everyone. Thank you all for joining us today. I'm joined by Terry Smith, Chief Operating Officer; and Chester See, our Chief Financial Officer. We're going to take you through our results for the first quarter of 2025. Please note Lundin Gold's disclaimers on this slide. This discussion includes forward-looking information. Actual future results may differ from expected results for a variety of reasons described in the caution regarding forward-looking information and statements section of our press release. Lundin Gold is a US dollar reporting entity, and all amounts in this presentation refer to US dollars, unless otherwise indicated. Lundin Gold delivered a strong first quarter in 2025, achieving gold production and sales of over 117,000 ounces. Our cash operating cost per ounce sold was $792 and our all-in sustaining cost was $909 per ounce sold. With a strong start to the year, we are confirming our 2025 production guidance of 475,000 to 525,000 ounces of gold and our AISC guidance of $935 to $995 per ounce sold. However, I want to note that our royalties and profit sharing are linked to the gold price and our 2025 guidance assumes an average gold price of $2,500 per ounce. For every $100 increase in the gold price we anticipate a roughly $10 increase in both our cash operating costs and AISC. That said, through our focus on operational excellence, we are reaffirming our guidance. Supported by the strong operating performance and record high gold prices, Lundin Gold generated strong quarterly cash flow from operations of over $194 million and free cash flow of just under $171 million during the first quarter. This robust free cash flow allows us to introduce a new quarterly variable dividend, complementing our existing sustainable fixed dividend of $0.30 per share. The inaugural variable dividend will be $0.15 per share, resulting in a total quarterly dividend of $0.45 per share. Additionally, given robust gold prices and our strong operating performance, we have also announced a special dividend of $100 million or $0.41 per share. Chester will provide more detail on this shortly. On the exploration front, we released exciting results earlier this week, highlighting the growth within our portfolio of deposits and targets. Our success to date has led us to increase our 2025 exploration drill program to a minimum of 108,000 meters, our largest ever and likely the largest in South America this year. Turning to slide 5. I wanted to highlight our financial achievements for the quarter and demonstrate how different things look a year later supported by a rising gold price. In the first quarter, we saw significant growth across key financial metrics. Revenue increased by 57% year-over-year to $356 million and we generated robust free cash flow of $171 million, a substantial 108% increase. Our bottom line also saw excellent growth with net income reaching a record $154 million, up 266% and earnings per share at $0.64, a 256% increase. EBITDA stood at approximately $242 million, representing a 116% rise. Furthermore, our profitability per ounce sold improved considerably. While we are a huge beneficiary of gold price rise, which we can't control, we have been able to control our costs through optimization and productivity improvements. I'm extremely proud of our team that is constantly looking at ways to improve and innovate. Our all-in sustaining cost margin per ounce, increased by 71% to $2,172 in Q1 2025. This positive trend is also reflected in our overall AISC margin in millions, which reached $256 million for the quarter. With that, I'd now like to turn the call over to Terry.
Terry Smith: Thanks, Ron and good morning all. Last quarter, we discussed our 2024 safety performance and the need to refocus on the fundamentals including promoting safe employee behaviors, visible leadership in the field, hazard recognition and fostering open communications. I am pleased to report that we started 2025 trending in the right direction. For the first quarter, we had two medical incidents and no lost time incidents. Our total recordable incident rate per 200,000 hours worked decreased from 0.21 from 0.66 in Q4 2024. We can build on this, if we avoid complacency and continue to stay focused. Moving on to operations. We had a strong start to the year, highlighted by the successful completion of our plant expansion project in the first quarter. This key project, which aims to increase throughput to 5,000 tonnes per day and boost average recovery by 3% is already contributing positively. In fact in March and April, we saw average recoveries of 90% and 92%, respectively. I'm excited to see how much more we can optimize the plant, now that the expansion project is behind us. The first quarter saw gold production exceeding 117,000 ounces from 403,000 tonnes of ore mined, with mill throughput just under 400,000 tonnes at an average of 4,424 tonnes per day. Leveraging the downtime associated with the plant's expansion tie-ins, we proactively completed the relining of the SAG mill and other essential maintenance originally scheduled for the second quarter, resulting in more downtime than originally planned for the first quarter, but positioning us well for the remainder of the year. Benefiting from strategic mine resequencing and positive grade reconciliation, we experienced a higher mill head grade of 10.4 grams per tonne with 88.5% recovery in Q1. We anticipate this higher grade trend to continue through the first half of the year, before moderating in the second half while our overall average grade target remains at 9 grams per tonne for 2025. As Ron mentioned earlier, given our strong first quarter performance and the initial ramp-up of the expanded plant, we are confirming our 2025 gold production guidance of 475,000 to 525,000 ounces. With that, I'd like to turn the call over to Chester to discuss our financial results.
Chester See: Thanks, Terry. And good morning, everyone. For the first quarter of 2025, Lundin Gold achieved record revenues of $356 million from the sale of approximately 117,000 ounces of gold, at an average realized gold price of $3,081 per ounce. This average realized price includes $2,926 per ounce of gross price received, and a favorable impact of $155 per ounce mark-to-market on provisionally priced sales. Income from mining operations was $234 million, a significant increase from $113 million in the same period last year, primarily driven by the higher gold price. This strong performance translated to adjusted earnings of $154 million or $0.64 per share for the first quarter compared to $58 million or $0.24 per share, a year earlier. EBITDA also reached $242 million for the quarter, which is more than double that of the same period last year. Our free cash flow generation in the first quarter also more than doubled compared to the previous period and was supported by the strong gold price. We generated $194 million in net cash from operating activities and $171 million in free cash flow or $0.71 per share compared to $82 million or $0.35 per share in the first quarter of 2024. We anticipate continuing to generate significant free cash flow throughout the year based on our production and AISC guidance, particularly with our increased exposure to rising gold prices and debt-free balance sheet. We began the quarter with $349 million in cash, generated $194 million from operating activities, paid out $73 million related to our fixed quarterly dividend of $0.30 per share and reinvested $24 million in the business. Our cash position at the end of the quarter was a healthy $452 million. With the continued positive outlook for gold prices and our production and unit cost guidance, I am very optimistic that we will continue to generate significant free cash flow. Now, I'm pleased to announce an exciting development that underscores our commitment to delivering value to our shareholders. Given the favorable combination of increased gold prices, a debt-free balance sheet, and the robust performance of our operations, Lundin Gold has declared a special dividend totaling approximately $100 million or $0.41 per share which is payable on June 9th to shareholders of record on May 22nd. In addition, we are providing our shareholders with further increased returns through the introduction of a variable quarterly dividend to complement our existing fixed quarterly dividends. The new quarterly variable dividend will be directly linked to our free cash flow which allows our shareholders to benefit more directly during periods of strong financial performance. The framework for the variable dividend is as follows; each quarter, the variable dividend will be based on a minimum 50% of the prior quarter's normalized free cash flow after deducting the fixed dividend paid during that same period. To provide a more consistent and predictable variable dividend, we will be using a concept we call normalized free cash flow. This involves removing significant non-recurring items from our standard free cash flow calculation, which we will apportion equally across all four quarters of the year. For 2025, the key nonrecurring items include the annual payments for taxes and profit sharing, which together amount to approximately $95.3 million. This will be allocated at a rate of roughly $23.8 million per quarter for the purpose of calculating the normalized free cash flow. The details of these normalization adjustments for future years will be fully disclosed as part of our year-end financial results each year. With this, I am delighted to announce that our inaugural variable dividend has been set at $0.15 per share. Therefore, the total quarterly dividend payable on June 25th to shareholders of record on June 10th will be $0.45 per share comprised of the quarterly fixed dividend of $0.30 and this new quarterly variable dividend of $0.15. Based on our closing price on the TSX as of May 8th, this total quarterly dividend of $0.45 per share represents an estimated yield of 4.2%. Further details regarding payment in Canadian dollars and Swedish kroner as well as information for non-resident shareholders and temporary Euroclear transfer closure can be found on the Investors section of our website. This new variable dividend policy reflects our strong cash flow generation and our confidence in the future of Lundin Gold. It allows us to enhance shareholder returns, while maintaining the financial flexibility to pursue our growth objectives. We believe this is a significant step in our capital allocation strategy and we are excited to be able to offer this enhanced return to our shareholders. For a more detailed discussion of our dividends and our financial results, I encourage you to turn to the MD&A. Now, I'd like to turn the call back over to Ron.
Ron Hochstein: Thank you, Chester. Let's now turn to our exciting exploration and growth initiatives. Two days ago we provided an update on our exploration results across our expanding portfolio of targets. I encourage you to read that release for the full details but I'll summarize the key findings here. Starting with FDNS, located directly south of FDN. Our high-grade conversion drilling program continues to yield positive results, confirming the continuity of the deposit and identifying additional encouraging mineralized zones. Our work at Trancaloma and the surrounding areas has provided significant insights, confirming the presence of a copper and gold porphyry system on surface. One hole returned 0.5% copper equivalent over 850 meters from surface. Included in that hole there was a section close to 500 meters at 0.65% copper equivalent. This is a key development that enhances the overall prospectivity around FDN and suggests exciting potential for other porphyry targets including Castillo and Sandia. At FDN East, recent drill results clearly demonstrate the continuity of mineralization and indicate promising areas for further expansion. Turning to Bonza Sur. The latest results have confirmed the continuity of the mineral envelope. And we're also seeing potential for further extension along the South limit, which warrants further investigation. In the East extension, the drilling program defined the East limit, close to the contact with Trancaloma Porphyry. Due to the proximity between Bonza Sur and the recently discovered Trancaloma Porphyry system, the decision has been made to delay the initial mineral resource estimate for Bonza Sur, to better understand the geological environment. Finally, I want to emphasize the increased scope of our 2025 exploration program. Building on our success to-date and the expanded pipeline of targets, we have increased our total program to a minimum of 108,000 meters. This includes an increase to our near-mine exploration program to 83,000 meters, from 65,000 meters, and includes an increase to our conversion drilling to 25,000 meters, focused on FDNS, up from 15,000 meters. The total cost of the near-mine exploration program is now $39 million, while the conversion program is included under sustaining capital. This expanded program underscores our strong commitment to resource growth and discovery. Moving to Slide 15, now let's talk about how we are prioritizing this expanded exploration program. FDNS is our number one priority, and we are looking to grow and mature it. As mentioned, we have increased our 2025 conversion program. The data being gathered will be incorporated into ongoing engineering studies for integration into our 2026 long-term mine plan. We currently have three drill rigs on FDNS, but we'll be increasing to six, focusing on conversion and expansion. Trancaloma is our second priority, and we currently have three rigs on this recently discovered copper-gold porphyry Bonza Sur is our third priority, and we will continue drilling in the South extension. We'll also drill to the east to define the limits with neighboring Trancaloma. Three rigs are currently drilling on Bonza Sur. Number four, is FDN East. And we will work to expand our geologic understanding by conducting further step-out drilling. One rig is drilling from underground. Number five, is to conduct scout drilling on the other porphyry targets, including Castillo and Sandia. And last but not least, we are in a target-rich environment in the Suarez Basin. And we will pursue scout drilling on the highest interest targets as our geological understanding evolves. With respect to our 2025 objectives, we set at the beginning of the year, we are well on track to meet or exceed them. Our top priority remains the health and safety of our people and the environmental performance of our operations. We continue to embed best practices across the organization. As you can see on the right, our total recordable incident rate for Q1 was 0.21, a significant improvement compared to the 0.66 reported for the full year 2024. This demonstrates our ongoing commitment to our safety initiatives and culture. We have completed the planned expansion project. As Terry mentioned, we started to see the benefits of this program in March. The focus for the second quarter will be on optimization to ensure we are operating efficiently and realizing the full potential of this new circuit. Based on our performance in the first quarter and our outlook for the remainder of the year, we are in a position to confirm our 2025 production and unit cost guidance. Our commitment to resource growth is evident in our exploration programs. We set an ambitious target to increase exploration drilling to record levels based on exploration success. And I'm happy to report we are exceeding our initial plans. We have increased our drilling program from 80,000 meters to 108,000 meters, reflecting the encouraging results we are seeing and the significant potential we believe exists within our land package. We are making excellent progress at FDNS. Our work is focused on establishing an initial reserve for this promising area while simultaneously continuing to grow the inferred resource. As highlighted earlier, the 2025 conversion drilling program has been increased to support this understand the geological environment between Bonza Sur, and the recently discovered Trancaloma, we are drilling both. Sustainability is integral to our long-term success. We have been actively working on establishing a new five-year sustainability strategy, building on our existing commitments and aligning with global best practices. As a key step in this process, our 2024 sustainability report has already been published providing transparency on our performance and outlining our future direction. Finally, we remain committed to returning value to our shareholders. Our previous target was to return approximately $300 million to shareholders via dividends. With the introduction of our new quarterly variable dividend on top of our quarterly fixed dividend as well as our special dividend, I'm pleased to say that we are now on track to exceed this target further enhancing shareholder returns. With the previous dividend paid earlier this year in January and including the recently announced dividends, we will have already distributed approximately $280 million year-to-date. In conclusion, our 2025 objectives are firmly on track. We are delivering on our operational targets advancing our key projects and enhancing shareholder returns. We are confident in our ability to continue this positive momentum throughout the remainder of the year. I want to thank all of you for joining us and for your continued support. And with that, I will now turn -- I will now open the call to questions. Over to you Chester.
Operator: Thank you so much for that. [Operator Instructions]. Your first question comes from Charles Ehidiamhen from Scotiabank. Please go ahead.
Charles Ehidiamhen : Thank you. Thanks for taking my question. Congrats on a very good quarter for the team. I just had a couple of questions and I'm asking on behalf of ore in present year]. The first one is on Bonza Sur. I was wondering if you could give us like an estimate of when the initial mineral resource estimate will be released just given the potential extension to the south and the potential intersection with Trancaloma.
Ron Hochstein : Thanks, Charles. Yes it's too early to tell really when -- that's why we didn't actually put a date out there as to what it is. This whole -- with these holes now that we announced not this last release, but prior that we're closer to Bonza Sur. And even the drilling to the south we're seeing this porphyry type mineralization even in the southern component. It's become exciting but more complex. So we're not saying right now when that new estimate could be because we just need to really hit that hard with -- as we say we're going to have six rigs turning between Trancaloma and Bonza Sur trying to really understand what's going on in that part of our deposit, but it is very exciting.
Charles Ehidiamhen: Great. That's helpful. And I mean I imagine that's going to impact from the PEA. I think that was supposed to be potentially released at the end of the year. I imagine that's going to push that further. Any color on what that could potentially be in terms of what we should be seeing in the PEA?
Ron Hochstein : Well, yes. No, Charles, yes, the PEA is shelved. It's -- we could be looking at something significantly larger now. As you've seen from these initial Trancaloma results, this has the potential to really be a transformational type discovery your initial target. And yes the PEA depending on the drilling results could look a lot different. So, yes, it's shelved for the time being.
Charles Ehidiamhen: Okay. And then just one follow-up question. Just when you just look at your portfolio and the fees you're recording on exploration programs like does that really give the company need to sort of do an M&A? Like how are you thinking about this? Do they change your view to doing some of you in the near term?
Ron Hochstein : Terrence, do go ahead.
Terry Smith : Yes. Just on the M&A question no I think our exploration program is very robust. And as you see we've expanded the program and we're very excited about the variety of targets especially FDNS, which we're working hard to convert and include in the long-term mine plan starting next year. So as Ron mentioned, we're in a very target-rich environment in the Suarez Basin and on our concessions and we'll continue to expand there and we see a lot of organic growth opportunities within our existing portfolio. Not that we're not looking at M&A, but we have a full plate in front of us.
Charles Ehidiamhen: Okay. Thank you. That’s all from me.
Operator: Thank you very much for that Charles. And moving on to our next question, Anita Soni from CIBC World Markets. Please go ahead.
Anita Soni: Hi. Good morning, Ron and team and congratulations on the strong results and a good I guess industry-leading capital returns program. I guess my question with respect to Bonza Sur and also on M&A there's two of them. So the first one on Bonza Sur. I think originally I had it, sort of, coming on stream in 2028. Can you just give us a time line on how -- like when you picture this coming in? Like sort of is it near the end of the decade or like into the next decade like in the early 2030s? Or conceptually where do you expect to see this?
Ron Hochstein: Hi, Anita and thanks for the kind words there on the quarter. Yes, I think, now with Bonza Sur it's very difficult at this point in time for us to start putting some time lines around it. I think what we're seeing at Trancaloma and what the drilling we're planning on Bonza Sur, I think even over the next quarter over the next six months is really going to help us to be able to provide more clarity to questions like Charles like you have as to what this means for us in that area because, yes, it's really been that one -- I know it's only one hole but when you have 800 meters and that hole ended in mineralization too. So 800 meters from surface at those grades it's just -- and also what the geophysics we've done shows us is that has the potential and I state potential to be a large system. We need to I think the next six months are really going to help us define what the horizon may look like for that whole part of that area south of Fruta del Norte.
Anita Soni: Okay. And then just on the M&A question I mean the increase in the dividend I'm wondering how -- if you're still looking to acquire something are those two sort of -- like it signals to me when you're giving this much capital back to shareholders that you perhaps are not seeing things out there that are worth -- the value isn't out there right now. Is that an accurate assessment?
Ron Hochstein: No. I think the thing is Anita is that Fruta del Norte is such an amazing asset and we have such an amazing operating team that we're able to just keep focusing on reducing our costs and still generating significant cash flow. And the special dividend is just an opportunity for us to that last -- we all know this last run-up in gold price is pretty high pretty significant pretty fast. And so we feel like give that opportunity back to shareholders. But don't forget Anita we set this at a minimum of 50%. We're still going to be generating some pretty significant free cash flow to continue to bolster our opportunity -- our cash resources for whether it's growth opportunities or M&A. So yes, not at all. I think it's just part of our focus on shareholder and one of our key pillars for creating value is shareholder return but that doesn't mean at all that we don't see anything.
Anita Soni: Okay. And then just last question on the performance dividend just so that I understand it. You said that around $23.5 million is the number I heard per quarter. So that would be taken out of the -- so that would be considered I guess a deduction from the free cash flow after dividend. Is that the accurate way of looking at it?
Chester See: Yes, that's right, Anil. This is Chester. We -- in the second quarter we will make those significant payments. So we will add that back to the free cash flow calculation and then deduct the normalized piece which is the $23.5 million that you mentioned. And then it will be that way every quarter this year.
Anita Soni: All right. Okay. Thank you. That’s it from my question.
Ron Hochstein: Thanks, Anita.
Operator: Thank you so much for that question, Anita Soni. And now we're going to move on to Don DeMarco from National Bank. Please go ahead.
Don DeMarco: Thank you, operator. And Ron, certainly congratulations on an order a strong quarter again. So first question, so you upsized your dividends. Is the special dividend viewed as a one-off? Or do you expect more of these to follow with some degree of frequency?
Ron Hochstein: I don't have a crystal ball on gold price. If you do Don then you might be bet. It's – look we – one of our pillars is shareholder return and should create shareholder value through returning capital. It's going to depend a lot on what happens with our drilling over the next six months or so many factors that at this point in time we feel that with the new formula we've got for variable going forward that shareholders will be able to get – take advantage of rapid increases in gold price, et cetera such that the special may not be required or will not. But at this point in time I can't say we'll never do it again. But I think the formula that we've got Don will certainly – I think that accomplishes our goals.
Don DeMarco: Okay. And is the NCIB somewhat deprioritized with the dividend increase?
Ron Hochstein: The NCIB was something we put in just more or less as a toolkit in our – a digital tool in our toolkit for financial. And it was really there in the event of a black swan type event. And so I don't think it's deprioritized. It's just that we continue to just make sure that we've got flexibility.
Don DeMarco: Okay. Great. And then shifting over to Bonza Sur and Trancaloma. Of course, we recognize it's an early stage but we see the proximity between these two. Is there a potential here for a larger open pit? And would it require a different processing flow sheet than Bonza Sur? We're seeing copper there. And what questions do you look to have answered from your drill program over the next six months?
Ron Hochstein: The simple answer is yes it would be different. And this is a potential more traditional copper porphyry Don. So yes it's quite a bit bigger operation and yes, different flow sheet. Yes, this is – if Trancaloma is what we dream about yes, this is a significant change to what Fruta del Norte is. This is now one of the better gold deposits along with a pretty healthy potential copper mine next door. Yes, it would be different. And we're – it's exciting and it's going to take some time. Six months I think we're going to be really focusing on trying to understand the core of the porphyry and start looking at the – how big is it. And one of the advantages we have with the Lundin Group is we've got geologists here who sit on the same floor as us from NGEx and Filo who kind of know a lot about copper porphyries and even upstairs with Tim Walmsley at Lundin Mining. So we're certainly tapping into them to help us bring the latest geophysical technology and just helping us looking at our drill programs.
Don DeMarco: Okay. Great. Good luck with that. And then maybe just as a final question. I'm just interested in your thoughts on the Ecuador election. We had the election outcome a few weeks ago. And I'm sure you could work with both governments but what are your thoughts on the election outcome? And are there any implications on Lundin?
Ron Hochstein: No actually I'm glad you asked that Don. I think the election results they surprised us all. But other than Canada, where we seem to follow polls everywhere else you don't follow the polls because the polls going in were for very tight but Noboa did well. And also two, the more important thing is the national assembly. Noboa has a significant number of seats in the national assembly. The issue we've had over the last two governments is a very fractionated national assembly which has made it very difficult for the overall government to move things forward. That's what we see as a big difference here going forward. And I'd take my Lundin Gold hat off and put my hat on as – I'm not saying a citizen but I certainly feel like part of Ecuador. I think it's great for the country now to have I think a solid group now that can really move forward and do things that will benefit the country of Ecuador. And one of those is Noboa has realized mining can be a significant contributor to the economy. And I think we're going to see now a real focus on trying to improve moving forward with a number of things which will definitely help us as we continue to keep developing Trancaloma Bonza Sur and our other potential targets.
Don DeMarco: Great. Okay. Thanks again, Ron and good luck with Q2. All the best.
Operator: Thank you so much for that, Don and now we're going to move on to Martin Pradier from Veritas Investment Research. Please go ahead.
Martin Pradier: Thank you. Great results. I just have a few questions. One of the things that surprised me was the very low tax rate for the quarter. That was 29%. How should I think in terms of the tax rate for the year, income tax rate?
Ron Hochstein: Chester?
Chester See: Yes. I'll take that Martin. With regards to our tax rate, we do -- we have done some tax planning and strategy around our operations. And therefore generally speaking, we expect our go-forward tax rate to range anywhere between 30% and 33%.
Martin Pradier: That's lower than before for that what you had communicated before.
Chester See: Yes. I mean as I mentioned, we've done some tax planning and strategies around our structure which is helping us a bit with taxes.
Martin Pradier: Okay. The recovery rate was very strong in March 90%. And has it continued improving? And I think it can go higher than that. What's your view on that?
Terry Smith: Hi Martin, it's Terry here. Yes, we're pleased with what the plant expansion has done for us in terms of recoveries. The Jameson cells are delivering -- we're collecting a lot of the fines that were previously going to tailings. We're pretty comfortable with the 3% bump that we were targeting with the project. And as I mentioned in my script, we saw 92% most recently. So, we seem to have settled in around that number. So -- but it's still early days. Like Ron was saying, we've got to optimize. We've got to settle into the circuit. There's a lot of variability in our ore. So, we'll understand this better as we get a little bit more time with this new flow sheet that we have.
Martin Pradier: That looks it can go to 92%, 93% in consistent basis.
Terry Smith: There's still 7% left at least. So, we're never going to stop trying to go higher.
Martin Pradier: And can you do something in terms of adding a crusher upfront to increase SAG mill capacity in this way increase capacity? What is the next step that you're going to do? I know that you're always looking at ways to increase that mill capacity?
Ron Hochstein: I don't think we have -- we're not SAG mill constrained. Actually we've got a lot of -- got some capacity there. The ore tends to be quite -- we're getting more -- we're using more of our blasting to -- for size reduction than the SAG mill. The team has a number of things that we're already looking at to look at increasing throughput from the design of 5,000 to higher. And it's a variety of things, different pumps, different trash screen. It's looking wherever we're running into a bottleneck or opportunities.
Martin Pradier: So you think you will be able to increase it to 5,500?
Ron Hochstein: Our guidance shows that we're at 5,500 for next year.
Martin Pradier: Okay. For next year, next year, yes. Okay. Yes sorry. And in terms of next year, how much can the FDNS south add to the mine plan.
Ron Hochstein: That's too early to tell, Martin. That's the whole intent of this year. But the team is hitting it pretty hard to try and do the work to the geotechnical metallurgy mine design, what infrastructure is required in terms of ventilation power and everything out there to try to bring that into the mine plan next year which is again I go back to our team, Terry and everyone else at site. You remember the first drill hole in the FDNS was Q2 of last year. And for us to try to bring that into reserves further the 2026 mine plan it's pretty aggressive and it just shows the team is focused on this and that's what we're trying to do. But it's too early to tell what the impact will be.
Martin Pradier: Okay. But it could increase -- the idea is that to increase the grade in 2026 from the previous plan. And if you increase the grade and increase the throughput you can have higher production.
Ron Hochstein: I'm not sure, if it would be able to necessarily increase 2026. It will -- I think it could -- it definitely could have an impact on the new life of mine plan. But this is going to need some infrastructure in that. Is that a fair statement Terry we can.
Terry Smith: Yeah. What Ron is saying is that, we'll have a plan in 2026 that shows how FDN can fold into the life of mine plan. And it's going to take time. This is a whole new area well to the south requires lots of development. So -- but there's great potential there. I think, is it a mine life extension? Is it a higher overall throughput rate that we can sustain from the underground? Those are the questions we're going to answer.
Martin Pradier: But in terms of getting into production when can this FDNS...
Ron Hochstein: It's too early to tell, Martin. That's the work we're doing this year.
Martin Pradier: Okay. Great. Thank you very much. That is pretty helpful.
Ron Hochstein: Thanks, Martin.
Operator: Thank you so much for that question, Martin. And since there are no further questions at this time please continue, Ron.
Ron Hochstein: Thank you, Chester, the operator. Thanks everybody for your continued support and the coverage that a number of the analysts on here provide. And yes, we're looking forward to Q2. The exploration program is so exciting. There are so many opportunities. And also, the team on our sustainability strategy are making a lot of progress and we look forward to being able to talk more about that as the year progresses. So, thank you again, for all your support, and everyone have a great weekend, and happy Mother's Day, to many of the mothers on the line.
Operator: This concludes today's call. Thank you for participating. You may now disconnect.